Operator: Ladies and gentlemen, welcome to the Ardagh Metal Packaging S.A. Quarterly Results Conference Call. Today's conference is being recorded. At this time, I'd like to turn the conference over to Stephen Lyons. Please go ahead, sir.
Stephen Lyons: Thank you, operator, and welcome, everybody. Thank you for joining today for Ardagh Metal Packaging's Second Quarter 2025 Earnings Call, which follows the earlier publication of AMP's earnings release for the second quarter. I'm joined today by Oliver Graham, AMP's Chief Executive Officer; and Stefan Schellinger, AMP's Chief Financial Officer. Before moving to your questions, we will first provide some introductory remarks around AMP's performance and outlook. AMP's earnings release and related materials for the second quarter can be found on AMP's website at ir.ardaghmetalpackaging.com. Remarks today will include certain forward-looking statements and include use of non-IFRS financial measures. Actual results could vary materially from such statements. Please review the details of AMP's forward-looking statements disclaimer and reconciliation of non-IFRS financial measures to IFRS financial measures in AMP's earnings release. I will now turn the call over to Oliver Graham.
Oliver Graham: Thanks, Stephen. We continued our strong year-to-date performance in the second quarter with 5% global shipments growth and 18% adjusted EBITDA growth versus the prior year, again, ahead of guidance. Our results were particularly driven by strong volume growth in the Americas, reflecting the strength of our customer portfolio with its exposure to several key attractive and growing categories. Our performance is a testament to the resilience of our business despite macroeconomic uncertainties with shipments growth reported across each of our markets. Global beverage can growth continues to benefit from innovation and share gains in our customers' packaging mix, and we still anticipate only a minimal impact to our business arriving from the tariff measures announced. Now looking at AMP's Q2 results by segment. In Europe, second quarter revenue increased by 9% to $615 million or 4% on a constant currency basis compared with the same period in 2024, principally due to volume growth and the pass-through of higher input cost to customers. Shipments grew by 1% for the quarter, driven by growth in soft drinks, offsetting some weakness in beer. Can sales in beer despite outgrowing other packaging substrates were weaker in the quarter, negatively impacted by adverse weather in certain geographies. Soft drinks saw good growth, especially in cans, not all of which we were able to follow, given constraints on certain can formats in the summer season. Second quarter adjusted EBITDA in Europe decreased by 3% to $77 million or by 6% on a constant currency basis, in line with our expectations, reflecting headwinds related to input costs. This included a temporary impact related to metal timing given falling aluminum prices during the quarter, alongside the expected headwinds this year related to negative PPI and higher aluminum conversion costs. This was partly offset by volume growth and lower operational and overhead costs. Beverage cans continue to take share in our customers' European packaging mix, and our expectation for shipments growth is around 3% for full year 2025. Capacity remains tight in the season in certain geographies and can sizes, and we expect that the continued ramp-up of our more recently installed capacity and flexibility investments will support near-term growth. In the Americas, revenue in the second quarter increased by 21% to $840 million, which reflected higher volumes and the pass- through of higher input costs to customers, including the impact of the higher Midwest premium in the U.S. Americas adjusted EBITDA for the quarter increased by 34% to $133 million due to favorable volume growth, category mix and lower operating costs. In North America, shipments increased by 8% for the quarter, a continuation of strong growth from the first quarter and reflecting our portfolio's mix of attractive and growing customers and product categories. Market demand for nonalcoholic beverages in cans was strong in the quarter with growth in carbonated soft drinks and strong growth in both sparkling waters and in the energy drinks category, which continued its strong quarter 1 growth and grew by a double-digit percentage. We maintain our guidance for full year North America shipments of mid-single-digit growth. In Brazil, second quarter beverage can shipments increased by 12%, reflecting favorable customer mix as we outperformed the industry, which grew only modestly post Carnival. We retain our guidance for full year shipment growth for Brazil of at least low single-digit percentage. This reflects the overall softer expected industry backdrop for the second half of the year. In summary, for the Americas, we expect shipments growth of mid-single-digit percentage for 2025. I'll hand over now to Stefan to talk you through our financial position before finishing with some concluding remarks.
Stefan Schellinger: Thank you, Ollie, and good morning, good afternoon, everyone. We ended the quarter with a robust liquidity position of $680 million. We note that in addition to our strong liquidity position, we have no near-term bond maturities. Net leverage of 5.3x net debt over last 12 months adjusted EBITDA represents a decline of 0.5 turn of leverage versus Q2 2024, reflecting adjusted EBITDA growth. It remains our expectation that leverage ratio at year-end will be around 5x. We reiterate our expectation for adjusted free cash flow for 2025 of at least $150 million. In terms of the various components of free cash flow, our expectations are mostly in line with what we said in April. So we still expect maintenance CapEx of around $135 million, gross CapEx of around $70 million, lease principal repayments of just over $100 million, cash interest of just over $200 million, as well as a small outflow in working capital. We now expect cash tax closer to approximately $40 million and as well as small exceptional cash outflows of approximately low teens millions. We have today announced our quarterly ordinary dividend of $0.10 per share. And with that, I'll hand it back to Ollie.
Oliver Graham: Thanks, Stefan. So just before moving to take your questions, just to recap on our performance and key messages. So firstly, adjusted EBITDA growth in the second quarter of 18% was ahead of guidance, underpinned by global shipments growth of 5% and in particular, a strong performance in the Americas. And across our markets, the beverage can continues to outperform other substrates in the customers' packaging mix, supporting our growth. So reflecting our quarter 2 outperformance and favorable currency movements and assuming no further adverse change to the current macro environment, we are upgrading our full year adjusted EBITDA guidance. Full year adjusted EBITDA is now expected to be in the range of $705 million to $725 million based on current FX rates. We continue to expect full year shipments growth for AMP to be between 3% and 4%. In terms of guidance for the third quarter, adjusted EBITDA is expected to be in the range of between $200 million and $210 million, ahead of the prior year of $196 million. So having made these opening remarks, we'll now proceed to take any questions that you may have.
Operator: [Operator Instructions] Our first question comes from Stefan Diaz with Morgan Stanley.
Stefan Diaz: Maybe just to begin, another very strong quarter as far as North American volumes. I know you called out some category mix, but maybe if you could just dig into what you're seeing so far in North America and what your expectations are for the region into the back half?
Oliver Graham: Sure. So look, as you say, we called out, I think, the main categories that are performing well, which you can see in the public data. So soft drinks generally in cans has had a strong 4 weeks, 12 weeks, 52 weeks. I mean the market as a whole is probably at a 2% to 3% level, which is very healthy given the size of the market. And then within that, CSD is strong, energy drinks, particularly strong. So I think last year, we were all debating when the energy category would come back. And I think we had strong hopes for 2025, and those have certainly played through with double-digit growth in cans. And then the other one we picked out was sparkling waters. We also have strength in our portfolio on the cocktail side, which is doing very well with certain innovative new players. And again, I think we're on the right side of the market, beer and cans, obviously under pressure, with the beer market under pressure. So being in soft drinks, I think, has been good for us. And then we also, I think, are with some strongly growing innovative new customers as well as some well-established customers in those categories. So if we look to the second half, we're not predicting it to be quite that strong. It was particularly good in the first half, somewhat ahead of our expectations. So we expect some reduction in that still looks pretty healthy, which is why we're still with our guidance, but just not quite as strong as we had it in the first half. And we think that the category trends broadly stay similar. So strength in those soft drinks categories. And overall, I've been saying it for a couple of years now. I think it reinforces that the growth we've had since 2018, 2019 in North America. We kept everything that we gained through the COVID period, and now we see growth again, thanks to the innovation that's going into the can, thanks to the sustainability credentials of the can. So very hopeful that we can sustain this overall level of performance for the market in North America.
Stefan Diaz: That's very helpful. And then I think you mentioned some capacity constraints in Europe, particularly with CSD. I guess could you just give a little more details around that? Maybe if you could size how much of the volume impact that had in the quarter? And if you expect these headwinds to continue into the second half?
Oliver Graham: Sure. Yes. So look, I think the story of Europe was definitely that beer was a bit weaker in general. Volumes weren't great in our markets and can sales similarly suffered a bit for that. The can sales were ahead of other substrates. So the strength was in soft drinks, and there was a lot of strength in soft drinks, but that was also particularly in the energy category as well as CSD and in slim and sleek sizes that we were a little bit short in the season because we have a strong beer position. So in the bigger can formats that we can't just immediately pivot into smaller formats for soft drinks. So although we've got a good network, lots of options across the market, we couldn't follow all the growth in the season. And that's probably 1 to 2 points of growth that we couldn't follow on the soft drinks side. I think looking into the second half, I think that in Q1, customers clearly built some good amount of inventory. We had 5% growth in Q1. So we're sort of around the 3% year-to-date, and that's roughly our prediction for the full year. I think the market for cans remains very healthy in Europe. It's on a long-term trend of this sort of number. We've seen other reporting a little bit higher, but with a different geographic mix. So it feels like the 3% to 4% market growth, we're around 3%, our prediction for the year. That feels the right sort of place. I'm very encouraged by just the ongoing growth for the European market overall.
Operator: [Operator Instructions] And we'll take our next question from Arun Viswanathan, RBC Capital Markets.
Arun Shankar Viswanathan: Congrats on the strong results. Just wanted to get some more color across maybe the Americas. It sounds like there was better-than- expected performance. What do you think that was driven by? Was it strong promotional activity in the quarter? And then I guess, when you think about that looking ahead, do you expect any drop-off in that sell-through? Do you think customers potentially or consumers potentially hoarded product on those promotions? Or do you expect sell-through to continue over the summer and into the fall?
Oliver Graham: Yes. No, look, good question. I think it's obviously hard to look into the crystal ball. Clearly, soft drinks promotions were strong in the first half, among the strongest we've seen. And therefore, you can expect that customers were buying up what they could see. But again, it's a pretty fast-moving product. So I wouldn't expect to see a huge amount of stockpiling. So I think it will depend what customers do in the second half on the promotional front, whether we see exactly the same momentum. But it's clear in our portfolio that not all of this is promotional. Clearly, we've got innovative drinks, new drinks coming to market in the gut health area, in the cocktails area, sparkling water continues to be very strong. So we don't see that as particularly promotional. And again, this is more about, I think, innovation going into the can, which is more a sustainable way forward. So we are predicting that the second half isn't quite as strong as the first half because the first half was really strong, but we're not predicting that it's terrible. We're still seeing good growth in the second half in North America.
Arun Shankar Viswanathan: And then similarly, on Europe, I guess, a little bit weaker than we expected, which is kind of surprising just given continued growth there, but maybe there are some specific factors going on. So maybe you can just elaborate on your outlook there as you look into the second half of the year and '26.
Oliver Graham: Sure. No, no. As I said, I think we've got some specific category geographic issues in the quarter. So had a couple of markets that were particularly weak on beer. We had poor weather, particularly in the South. So for whatever reason, the beer market wasn't as strong as we anticipated and probably everyone anticipated in our geographies. And although, as I say, the can was outperforming the other substrates, the can was also under some pressure as a result of that. And again, I wouldn't underestimate, I think customers did build inventory much more effectively this year than last year. I think they learned a lesson last year when they were short inventory going into the season, and so probably the average of our 5% Q1 and our 1% Q2 is the right number to think about for the market, which is pretty much where we pick the market for the year and where we see our second half. And again, if I look into 2026, all the good trends are still there for Europe. So we've still got cans gaining share in the mix. We've got Germany still with very low can penetration relative to other developed markets for all the reasons we've talked about. We've got gains in soft drinks that are pretty strong. I think the can sustainability credentials are only improving in Europe with higher recycled content rates and lower carbon footprint. So we see a lot of good trends, I think, for Europe going forward and would anticipate these sorts of growth rates on average and maybe you get some quarter-to-quarter volatility like this. But overall, the 3% to 4% feels like a good place to pick the market.
Arun Shankar Viswanathan: Great. If I could just ask one more. Just overall on your footprint, any regions where you feel you would need to take action, whether to increase or decrease capacity?
Oliver Graham: Yes, certainly no decrease at this point. If we're talking about Europe, I think we're very tight. The market is clearly very tight in certain can sizes, particularly in the season. Our peers have announced some capacity growth. I think the market needs that. We think this is a $90-plus billion market now, growing at 3%, 4%, then you need some capacity added every year, clearly. We're getting to the point where we'll have to think about capacity additions. We've got good growth this year in capacity as we ramp up existing investments. We'll put some more flexibility into the network. But that will take us through '26, but then we'll have to look at the situation and probably we'll need to look at the south before the north, but we're evaluating that situation as we see our customer mix develop. And then if we're talking the other regions, there's still capacity to grow into. In North America, they're less than we would have thought at the beginning of the year, given the strength of the growth. And in Brazil, I think we've signaled there is a decent amount of capacity for us to grow into, which has been hard curtailed, but mainly in the Northeast where growth is a bit less in the market. But overall, I think we feel pretty comfortable with our position at the moment for the next 12, 18 months of growth.
Operator: [Operator Instructions] We'll take our next question from Josh Spector with UBS.
Joshua David Spector: First, I just wanted to ask on the European cost side. When you talked about some of the timing in aluminum, how much of an impact was that in the second quarter? And do you make that back up in 3Q and that there's maybe some outperformance on margins? Or is that something that would take longer than that?
Oliver Graham: Yes. Look, I mean, these timing effects, they come and go. Sometimes they happen in the quarter, sometimes they cross quarters. I don't think we see it particularly being made up in 3Q, but I'll let Stefan comment. But I'd say more just that, yes, they happen. They go up and down. It just happens that it was particularly concentrated in this quarter because of the tariff announcements and then the weakening of the dollar, which particularly impacted the euro aluminum pricing and therefore, the gap between when we buy it and when we sell it on to customers. But Stefan, maybe you want to add something?
Stefan Schellinger: Yes. Look, that's obviously right. It's sort of a timing between sort of the price we invoice the customer and the price of what we procure. I wouldn't expect it to come back unless sort of the price moves again fundamentally and depending on which direction. So I think probably we are through most of the effect in Q2, but I wouldn't disclaim sort of to be reversed sort of in the near term.
Joshua David Spector: And then if I could ask about kind of your implied 4Q guidance. I don't think anybody is going to blame anybody for being conservative at this point. But I guess if we look at the implied EBITDA, it's potentially down significantly year-on-year in 4Q and is actually even below 2023 EBITDA. Is there anything specific that you're seeing that would drive your assumptions there, either pull into 3Q or something else that you call out?
Stefan Schellinger: No, I think -- I mean, you mentioned obviously we -- it's an uncertain environment from a macro perspective. I think the European side of the business obviously is facing some cost headwinds we talked about. So that will also impact the Q4. I think Q4 last year in Europe was also relatively strong from a growth perspective quarter. And then I think in South America, just relative to half 1, as we said, we anticipate certainly a slowdown in terms of our own volume growth. We've significantly outperformed the market and the overall market is relatively slow. I think we see it at very low single-digit growth. So these are probably a few things to call out here.
Operator: And our next question comes from Richard Carlson with Wells Fargo.
Richard Clayton Carlson: I'm standing in for Gabe Hajde today. So just a follow up on the last question about the back half guide because I think that is something that's catching a lot of people's eyes today. Other than the slowdown in the growth that you guys have referenced, are there any other major cost pieces that are in there that we need to keep in mind when we're modeling this out? And then also just from that growth perspective, you've definitely had a lot of outperformance in North America so far year-to-date. Brazil looks quite good. I guess Europe maybe is a little bit disappointing, but what are really the biggest moving pieces between the first half growth rates and the second half growth rates?
Oliver Graham: I think -- yes, look, I talked a bit about the different markets, but I think Europe, we see roughly at the same rate in the second half. But we're being a little bit cautious after a difficult second quarter relative to expectations. And then both Brazil and North America, we are predicting some slowdown on the rate. As Stefan just said, the Brazil market has grown 1% year-to-date, and we've grown more -- significantly more than that and 12% in Q2, nearly 8% in year-to-date. So again, that's a result that's been talked about on these calls and our peers' calls. We're all serving the big brewers. Some of them promote in some quarters, some promote in other quarters. So you have to assume that your mix plays for you at some point, but doesn't always play for you through the year. So we've assumed some reversion to the mean in Brazil. And then again, in North America, we had such a strong first half that we haven't assumed that, that replicates fully through the second half. So I think clearly applying some appropriate caution. And then as Stefan just said, I think Q4 is a way out. The macroeconomic environment remains uncertain. And so we're just reflecting that, I think, in some appropriate caution relative to our Q3 guide, which is another growth. So there's no extra cost pieces. We've talked about the input costs on Europe. We don't see any additional cost pieces as we go into the back half of the year. I think that's right. Isn't it Stefan?
Stefan Schellinger: Yes, that's correct.
Richard Clayton Carlson: Got it. And then I guess specific to the energy market, that's been, of course, a really hot market here in North America, probably going to see some tougher comps coming up soon. But what are you guys seeing there? And do you have a view on whether or not the incremental buyer of an energy beverage is leaving sodas? Are they getting away from CSDs and maybe cannibalize CSDs? And if that is happening, how does that impact you guys? It seems like maybe your exposure or your market share within energy is quite a bit higher than CSD. So just wondering if you guys have thought about how some of the dynamics in the buying between CSDs and energy is impacting you?
Oliver Graham: Yes, we're not seeing that. I mean I think -- I don't have any detailed data on exactly what the switching is, but we're certainly seeing CSD in can grow, so with very good growth. We're seeing continued share gain. I think I saw data saying we're up to 56% and plastic down to 40s. So that switch is going on. So we're seeing good growth from our perspective in both energy and CSD, and we're not seeing that some sort of trade-off. So yes, not concerned about that at this point. And then within the energy category, you've got new players that are performing extremely strongly. You've got existing players performing strongly. So I think it's what we said last year that this is a big, strong category with very successful players who know all about innovation. And they had -- they took a breather last year, but they've really brought it back to the market in a strong way this year. So very pleasing that they've done that.
Richard Clayton Carlson: Got it. And then just last one for me. Same question you guys have got in the last few quarters was just on this -- the MAHA movement, especially here in North America with switch to potentially less artificial sweeteners and dyes or things. Are you hearing any increased conversation from your customers about the potential headwind that could be to their business?
Oliver Graham: No, really nothing specific, to be honest. And again, if I look at our position in those categories, it still seems to be growing at the expense of other substrates. And when I think about the impact of that, it could also fall more on other substrates. So yes, nothing very specific on that to comment on.
Operator: [Operator Instructions] Our next question comes from Michael Roxland with Truist Securities.
Niccolo Andreas Piccini: This is Nico Piccini on for Mike. I guess, first off, can you speak to any manufacturing efficiency that could have contributed to the performance this year so far? And how should we think about what you target there going forward?
Oliver Graham: Yes. Look, I think we referenced in the remarks that there have been improved operational costs on both sides of the Atlantic. Obviously, North America helped by the fact that we're running so full. We're very low inventory levels in North America for another year. And obviously, when you run the plants fuller unit costs drop and efficiencies grow. So that's definitely helped. But then I think our Europe performance has been very pleasing on the manufacturing side. So good production levels, good cost performance. So overall, yes, we're happy with the network. We have manufacturing efficiency targets built in every year. It's the nature of can making. So yes, we're not going to talk about them specifically. They're part of our guidance. And we're looking obviously very ambitiously at cost savings and increased efficiency in our manufacturing network, and that's supported by a number of big programs within the business.
Niccolo Andreas Piccini: Got it. And then just secondly, if you could speak to maybe contract negotiations. I imagine at this point in the year, your 2026 volumes are maybe largely contracted. But could you speak to how much it is for '26 and how much you have under contract for 2027?
Oliver Graham: Yes. Like you say, we're largely either contracted or well through any negotiation process for 2026. So we're increasingly got good visibility there. And then '27 actually, is reasonably -- I mean, I don't have the exact percentage to hand, but it's reasonably fully contracted. We're getting through the wave of CSD tenders in North America now. Europe has been a decent amount of activity this year, which is closing and should take us through 2027. So yes, I think the business is getting through that, if you like, the wave of post-COVID contract renewals, and we're starting to get pretty good visibility on '26 and beyond volume-wise.
Operator: [Operator Instructions] And it appears there are no further questions. One moment, we do have Mr. Stefan Diaz that resignaled.
Stefan Diaz: [indiscernible] commentary that the European market is rather tight, and just given your cash flow profile and some cash commitments with the dividend, do you think you're well positioned to capture some of that future growth if we think on 12 to 18 months if you feel like you need to expand capacity in the region?
Oliver Graham: Yes, I'll start, and then I'll let Stefan pick it up as well. But look, as I mentioned, we're ramping up probably in the order of $1 billion of capacity this year with the projects that we completed in '23 and '24 and with some improvements to those projects and some speed ups. So that's already taking us healthily through this year and into next year. And then we have another some other areas where we can still see capacity growth in the existing footprint next year. And then I think we signaled we might have to add something under the existing footprint going into '27. And we've talked about CapEx levels for this year being broadly similar probably next year. So I think that when I look at our growth profile for Europe, I'm not concerned. I think we can manage that within our existing forecast and stay relevant and competitive in the market. But I'll also pass that one to Stefan.
Stefan Schellinger: Yes. Look, I fully agree. I mean, obviously, we gave indications for this year in terms of growth CapEx. I think all projects, I think we have line of sight of, and we feel are good return opportunities in terms of extensions, speed ups, I think we are going ahead with. And I think for the foreseeable future, I think we have, I think, good visibility sort of in our pipeline of projects, and I think we can address those within the existing sort of cash flow profile.
Stefan Diaz: That's really helpful. So I guess maybe just like digging into that a little further. So potentially any capacity that needs to be added beyond the $1 billion that you mentioned that you're adding this year would be more brownfield type projects if we sort of assume demand kind of stays in the -- on the same trajectory than needing greenfields. Is that a correct assumption?
Oliver Graham: Yes. I think that's definitely a good assumption. I think -- I mean, brownfield could imply to some listeners that you need to build some big new plant, but it's an existing building, right? We're talking genuinely under the roof, so existing facilities, which obviously are the most efficient and lowest cost capital investment. So that's what we see for the next 2, 3 years in Europe that we certainly don't need to be building major new facilities at this point.
Operator: [Operator Instructions] It appears there are no further questions at this time. I'll turn the conference back to Oliver Graham for any additional or closing remarks.
Oliver Graham: Thanks, Lisa. So thank you for joining our call. So just to summarize, another very strong quarter for AMP. Global shipments grew by 5% in the quarter, adjusted EBITDA by 18% ahead of guidance, particularly driven by the Americas. And reflecting that quarter 2 outperformance and favorable currency movements, we're again raising our expectations for full year adjusted EBITDA. So with that, thanks for joining, and we look forward to talking to you again at the Q3 results.
Operator: Thank you, ladies and gentlemen. This concludes our call today. You may now disconnect from the call, and thank you for participating.